Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter Fiscal 2013 Standex International Corporate Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Mr. David Calusdian from Sharon Merrill. Please begin.
David C. Calusdian: Thank you. Please note that the presentation accompanying management's remarks can be found on Standex' Investor Relations website, www.standex.com. Please see Standex' safe harbor passage on Slide 2. Matters that Standex management will discuss on today's conference call include predictions, estimates, expectations and other forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially. You should refer to Standex' recent SEC filings and public announcements for a detailed list of risk factors. In addition, I would like to remind you that today's discussion will include references to EBITDA, which is earnings before interest, taxes, depreciation and amortization; adjusted EBITDA, which is EBITDA excluding restructuring expenses and onetime items; non-GAAP net income; non-GAAP income from operations; non-GAAP net income from continuing operations and free operating cash flow. These non-GAAP financial measures are intended to serve as a complement to results provided in accordance with accounting principles generally accepted in the United States. Standex believe that such information provides an additional measurement and consistent historical comparison of the company's performance. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is available in Standex' third quarter news release. On the call today is Standex Chief Executive Officer, Roger Fix; and Chief Financial Officer, Tom DeByle. I'd now like to turn the call over to Roger.
Roger L. Fix: Thank you, David, and good morning, everyone. Please turn to Slide 3. We grew sales and operating income in the quarter despite softening demand in several end user segments, and the fact that we had about 3% fewer shipping days during the quarter as compared with Q3 of fiscal 2012. Total sales were up 10.2%, which consisted of 1% organic sales growth and 9.3% growth from acquisitions, offset slightly by a negative 0.1% foreign exchange impact. This quarter, we experienced push outs on the refrigeration side of our Food Service segment as a result of the prolonged winter weather, and demand continued to be soft on the hot side of that business as well. On the bottom line, we reported year-over-year non-GAAP operating income growth of 21%, with the Electronics and Engineering Technologies segments reporting double-digit increases. Non-GAAP EPS from continuing operations was up 17.5% to $0.74 per share. During my segment review, I'll discuss a few items that had a negative effect on our non-GAAP bottom line results, including significant disruption and relocation expenses caused by our engraving facility move in Brazil, as well as warranty expenses at our beverage dispensing business. In addition, Tom will also discuss special items that we've excluded from our non-GAAP results. Looking at the balance sheet, we ended the third quarter with net debt of $41 million and a net debt-to-capital ratio of 13%. We remain in very good position to make further strategic acquisitions. Please turn to Slide 4, which provides an update on the transformation that we've made on the bottom line during the past 4 years. For the $0.74 per share we reported in Q3, we've now achieved $3.70 per share in non-GAAP EPS for the trailing 12 months. This demonstrates the impact of our lower cost structure and the success of our organic and acquisition growth initiatives. With that, Tom will discuss our third quarter results in some detail. After which, I'll discuss the recent performance of each of the business segments. Tom?
Thomas D. DeByle: Thank you, Roger, and good morning, everyone. Please turn to Slide 5, which summarizes our third quarter results. Net sales for the third quarter increased 10.2% to $166 million from $150.7 million in the third quarter last year. Excluding special items, operating income grew 21% to $13.3 million from $11 million a year ago. Adjusted EBITDA grew to 17.6% to $17 million. Slide 6 is our quarterly bridge that illustrates the tax affected impact of the special items on net income from continuing operations. Four adjustments were made to normalize earnings: $760,000 of restructuring charges, a $2 million legal settlement expense, a $1.6 million gain from the cancellation of retiree life insurance benefits and $1.4 million of favorable discrete tax items. The legal settlement expense is related to the final resolution of the litigation in our Food Service Equipment Group that had previously been disclosed in our 10-Q and 10-K filings. During the quarter, we made a decision to cancel a retiree life insurance benefit, that the majority of which was associated with discontinued operations. The discrete tax items include the benefit from the prior year of the renewal of the R&D tax credit in the U.S., and a reduction of the deferred tax asset that we had determined was no longer required. Excluding these items from both periods, non-GAAP net income from continuing operations increased 17.1% to $9.4 million. Earnings per share from continuing operations excluding special items grew 17.5% year-over-year to $0.74 per share. Turning to Slide 7, you can see that we have performed well year-to-date, recording 11.4% growth in sales. Breaking sales growth down into its components, 8.9% came from acquisitions, 3.1% from organic growth, partially offset by a negative 0.5% from FX. Non-GAAP operating income excluding special items grew 17% to $50 million, and adjusted EBITDA grew 15.7% to $61.5 million. On Slide 8, we have a reconciliation of net income from continuing operations to non-GAAP net income from continuing operations for fiscal 2013 year-to-date. Excluding special items, non-GAAP net income from continuing operations grew 13.2% to $34.2 million or $2.68 per diluted share, from $30.2 million or $2.36 per diluted share. Turning to Slide 9, net working capital at the end of the third quarter was $138.3 million, compared with $129.9 million at the end of Q2 and $114.8 million at the end of Q3 last year. Working capital turns were 4.8 in Q3, down from 5.3 at the end of Q3 last year. Inventory turns were at 4.7 compared with 5.2 a year ago. The lower inventory turns were the result of 2 factors: first, we put additional buffer inventory in place to support the consolidation of electronic facilities in China that we announced during the quarter; second, we had additional inventory in Food Service as a result of lower-than-expected sales. We expect to make progress in eliminating this inventory increase over the next 2 quarters. Looking at Slide 10, we had net free cash outflows from continuing operations of $7.9 million during the quarter compared with cash inflows of $11 million at Q3 last year. Capital spending for Q3 was $2.7 million, consistent with our previously disclosed increased to our capital budget to fund top line growth and productivity improvements. For fiscal 2013, we expect our capital spend will be in the range of $14 million to $15 million. Slide 11 illustrates our net debt as of March 31. Our net debt increased to $40.7 million from $28.9 million in Q2 of 2013 and from $21.1 million a year ago. We define net debt as funded debt less cash. The increase in debt was primarily driven by lower free cash flow caused by increase in inventory and the payment of our annual year-end rebates in Food Service. Our balance sheet leverage ratio of net debt to capital was at 13% at the end of the third quarter of fiscal 2013, compared with 7.6% a year earlier and 9.8% in the sequential second quarter. Our balance sheet is well-positioned to meet our needs. We continue to have ample financial flexibility to fund future growth, acquisitions and other strategic initiatives. Now I'll turn the call back to Roger.
Roger L. Fix: Thank you, Tom. Please turn to Slide 13, Food Service Equipment Group, and I'll begin our segment overview. Sales were down 1.5% at Food Service in the third quarter, which is typically the seasonally slowest for the segment because of significant percentage of our sales for this group are tied to the construction of new stores. This quarter was lower than normal on the refrigeration side of the business, primarily because of prolonged winter weather throughout the quarter caused customers the delay openings and remodeling until weather improved for site construction and coordination. In addition, general consumer uncertainty caused customers on the hot side of the business to delay equipment purchases. Non-GAAP operating income was down 17.6% due to the deleveraging effect of the lower volume, warranty expenses at our beverage dispensing business, a higher mix of lower margin quick service chain customers and significantly higher margin expenses than in the year ago quarter. We attended the North American Association of Food Equipment Manufacturers or NAFEM exhibition during the quarter. This show occurs every other year, so sales and marketing expenses in the quarter were higher than last year by approximately $600,000. Let's take a closer look at the developments at the Food Service business during the quarter, beginning with refrigeration. As we have seen in the past few quarters, strong sales to quick serve restaurant chains were substantially offset by softness at drug retail stores. During the quarter, we had a greater mix of sales to the smaller chains, which had a negative effect on margins. Our sales to the smaller chains our through dealers as opposed to the large chains where we sell direct. We have been successful in expanding our customer base in the dollar store segment, and in the third quarter, we received a commitment from a large dollar store chain for $5 million to $8 million of incremental annual sales. We expect to record this revenue beginning in Q4 over the next 12 months. We've also been successful in penetrating other dollar segment chains, which are evaluating our products in test stores. This segment remains a very good growth opportunity for us. We also had key customer wins with our rack refrigeration and value line refrigeration offerings during the quarter. We captured the business of a large regional convenience store chain when they placed a multimillion dollar order for our rack refrigeration products. And a major national dealer has removed a competitor from their catalog, and replaced it with our Value refrigeration product line. This also is a multimillion opportunity. While our Value refrigeration line represents an excellent opportunity for the future, our core products segment is glass door refrigerated merchandising cabinets. We recently completed a value engineering exercise on that product line, which include a complete overhaul of our manufacturing process and a reduction in product part count and weight. As a result, we have substantially lowered our cost. We've relaunched these merchandising cabinets late in the third quarter with new features and at the lower price point. Historically, these products have been primarily used in retail drugstores, but we expect our customer base for this line will now expand to include other segments, such as the dollar store segment and a dealer channel. We believe these actions will enable us to take market share and improve margins. Turning to cooking solutions. Demand continued to be soft in the retail grocery segment in both the U.S. and the U.K., as a result of the lack of capital spending on the part of our largest customers. Overall, business in the cooking side was soft due to sluggish consumer sales at our customers. There were several positive developments on the cooking side of the Food Service during the quarter, including a growing momentum for our combi oven product line. We're expanding a number of customers who are evaluating the line in the test kitchens in stores, and we received one large order from a major grocery store chain. We're getting very good feedback from customers who say the product has the best control in the market, is easy to use, easy to clean and provides great flexibility in cooking for different kinds of menus. During the quarter, we announced the opening of a new Culinary Development Center in Allen, Texas. The new facility is being used for customer testing, demonstration, menu development and training. We've been very pleased with the response to the Center by our customers, who have been using it to test and evaluate our products. The dealer channel has also been enthusiastic about the Center and sees it as a positive value-add to their selling process. The facility is located north of Dallas, Texas, in a region where many national chains are headquartered to this very conveniently located to the Dallas/Fort Worth Airport, which facilitates customer visits. Our customer fabrication businesses are up strong, with double-digit increases in sales and bookings. We are capitalizing on new products that have been introduced in the past few years, particularly in the convenience store segment. We've also done a good job in expanding new buying group channels. As I've mentioned a few moments ago, we did incur higher warranty expenses in our Procon Pump business as part of a new product introduction, but we believe we have corrected this issue going forward. Please turn to Slide 14, Engraving Group. Standex Engraving sales were down just under a percentage point in the third quarter, and operating income was down 28%. We experienced strong mold texturizing sales in Europe, China and Australia, with Europe and China on pace for record years. This was offset by softer mold texturing demand in North America. In addition, a greater mix of lower margin non-automotive sales in North America had a negative effect on operating income in the quarter. Based on the schedule for major platform launches, we expect our sales trend to essentially reverse in fiscal 2014, with North America up substantially, Europe softening and China continuing to grow. We still expect a solid year in mold texturing next year. Our innovative business had softer sales in developed countries, offset by strong growth in emerging countries. We experienced significant disruption in incremental expenses totaling approximately $1.1 million associated with the relocation of our facility in Brazil where we see good future opportunities. On our second quarter conference call, we mentioned that we have seen some disruption in Q2 as we initiated the move, and that disruption continued into Q3. We believe that the bulk of this behind us, some disruption to shipments may occur continuing to quarter 4. We're on track to open our larger facility in Central Mexico, just north of Mexico City, in the first quarter of fiscal 2014. This region in Mexico has become a growing center for automotive production, and a number of OEMs, toolmakers and Tier 1 auto interior suppliers are opening plants in this region. A number of customers have visited our new location already, and are enthusiastic about our move to a new and larger facility. Our Korean facility, which opened in Q2, is ramping up production as planned and is being well received by customers. We plan to open our fourth facility in India by the end of the fiscal year as planned. Please turn to Slide 15 in our Engineering Technologies Group. Engineering Technologies operating income was up 10.7% on sales growth of 4.4% in the third quarter. During the quarter, we continue to see good growth in the space sector on the unmanned flight side with the Delta and Atlas programs, as well as increasing development work on a manned flights side for both NASA and commercial customers. We also continue to expect good long-term opportunities from the land-based turbine market. During the quarter, our large land-based turbine customer drove sales growth in this segment. However, we are also seeing increased demand from several other large gas turbine customers, as a result of our efforts to diversify our customer base. We expect strong sales from this market to the first quarter of fiscal 2014, but we have very limited visibility beyond that. As we expected, the oil and gas market continues to be soft, and our Q3 results from this segment compares to a very strong third quarter of fiscal 2012. We expect that the oil and gas market, which is highly project-driven, will remain soft for remainder of the calendar year. We have a very good technical and economic solution in this market. And when projects open up, we are very well positioned. In the aviation market, we're making good progress in our efforts to capitalize on demand for wing-based jet engine components. We received development contracts from several customers, and are currently producing development hardware. Contract awards from this market have long maturation times, and we would expect to see production orders after the beginning of calendar 2014, with ongoing growth occurring over the next several years. We're also continuing to gain traction from customers seeking our capabilities for jet engine lipskins and expect to capitalize on good long-term opportunities in this area as well. Please turn to Slide 16, Electronics. Electronic sales were up 132% and operating income increased by 115%, driven by the continuing success of our Meder acquisition. We continue to make significant progress in Q3 on the integration of Meder. We've been working with our customers on the engineering test and evaluation process of the combined product portfolio, and that has been proceeding quite well. We're beginning to see initial sales resulting from cross-selling opportunities, and expect good sales synergies to result from our combined product portfolio over the next fiscal year. On our last call, we had projected cost synergies in 2 areas, including $0.5 million of material and procurement savings that will be implemented in the next 12 months, as well as between $1 million to $1.5 million of annualized cost savings from facility rationalizations. After another quarter into the integration process, we now expect that our facility rationalization to be at the high end of the range, and for material and procurement savings to be about $2.5 million, for a total cost synergies of about $4 million annually. During the quarter, we announced the Standex Electronics facilities in Tianjin, China, and the Meder sales office in Hong Kong would be consolidated into the Meder manufacturing facility in Shanghai. These facility consolidations are on track, and should be completed in the current fourth fiscal quarter. At the legacy business, we continue to be enthusiastic about a robust pipeline of new products and customer programs that we expect will contribute to revenue in future quarters. Please turn to the Hydraulics Group on Slide 17. Hydraulic segment sales were up 2.3% and operating income was down 6.9%. We saw some improvement in the North American dump truck and trailer systems market, which has been weak. The rebound of the housing market is having a positive effect on this market, as is the growing oil and gas market in certain geographies. We're also seeing very good growth in the roll-off waste container market. This demand has necessitated the expansion of our capacity at our Tianjin, China facility. In fact, the Hydraulics businesses will occupy the space in our Tianjin facility vacated by our Electronics business once this relocation is completed during the fourth quarter. The next new market segment that we're focused on penetrating is the garbage truck refuse market, which takes us into the residential segment of this end market. New products for this application are currently in a prototype phase and field test, and we're beginning to receive our first production orders. The response to these products has been excellent, and we've already been awarded a commitment from one customer to supply all of their aftermarket cylinders. Looking at international side of the business, we continue to experience weak demand for Mexico, Australia and South America due to economic conditions. Please turn to summary on Slide 18. While our results were not as robust as they might have been, given the headwinds we faced, we continue to make progress on a number of important strategic areas in the quarter. Each of our segments is executing on a number of organic growth initiatives to capitalize on specific market opportunities. We're introducing new products and technologies, penetrating new end user and geographic markets. As we do so, we're increasing market share and growing sales. At the same time, we continue to make progress in leaning out our operations and improving our margins. Our acquisition strategy has been proven to be highly successful this year given the strong accretion from Meder, thus far, and expectations for further cost synergies in the future. And we're already seeing solid signs for sales synergies from Meder to also be successful. Going forward, we're confident that we have the right strategy to continue to grow sales, increase profitability and generate long-term shareholder value. With that, Tom and I will now be pleased to take your questions. Operator?
Operator: [Operator Instructions] Our first question is from the line of Jason Nacca from Sidoti.
Jason Nacca - Sidoti & Company, LLC: I just wanted to first get into Meder. We're beginning to see more synergies. I'm just looking for the operating margin, if you believe that's going to start trading, when do you think it's going to start being in the range of historical levels?
Roger L. Fix: Well, we don't speak to margins specifically, but we do speak to the cost reductions. So the facility rationalization, as we mentioned, should be done by the end of this fiscal year, so that $1.5 million will start to flow through the P&L beginning in early part of fiscal 2014. And we mentioned that the other $2.5 million of cost savings are going to be kind of feathered in if you will over the next 12 months, starting really in the current quarter. So we would expect by, say, 12 months from now that the $2.5 million of savings associated the material cost reductions would be fully into the P&L.
Jason Nacca - Sidoti & Company, LLC: Okay. And also we saw some push-outs on the refrigeration side of the Food Service. Are we going to be seeing some of that execution in the fourth quarter? Or is that more going to be pushed into fiscal '14?
Roger L. Fix: No, we expect it to happen in fiscal '14. We've actually seen some improvement in activity as the weather's warmed up this month, bookings have strengthened a bit and the push-outs that we have produced, a lot of which was in inventory have started to flow through already.
Jason Nacca - Sidoti & Company, LLC: Okay. And also going to Engineering Technologies, you see with the sequestration with NASA, are we seeing any -- provide me a little color on what you're seeing on that side besides the increase -- the unmanned kind of trends growth that we're seeing there? But how about on NASA? Are we seeing any pullback from there with their spending?
Roger L. Fix: That's a very good question. Congress, in particular, the Senate, has been very forceful in authorizing NASA to continue to spend their budget on continuing resolutions. And that money has flowed specifically into the new Senate-approved launch systems called the Space Launch System, SLS system. And a lot of the development work that we're doing for NASA, it's not all for -- directly to NASA, but a lot of it goes through Boeing and other OEMs. That funding continues and we're seeing pretty solid demand from a development standpoint. The other side, the unmanned, as we mentioned in the past, again, a lot of that flows through government funding. But those platforms, those launches are actually funded out 3 or 4 years. So we have a very good visibility on both the manned and unmanned, and both are very, very strong robust.
Jason Nacca - Sidoti & Company, LLC: Okay. And also a little bit on the Engraving segment. I know -- we saw some disruption of the Brazil relocation, and most of that happen second, third quarter. How quickly do you anticipate some improvement on that side and the margins on Engraving in fiscal '14?
Roger L. Fix: Again, we've made good progress already. We weren't quite ready to call a victory for the fourth quarter. We expect there to be some minor additional expenses in the fourth quarter, but the majority of it's definitely behind us. And as we go into the next fiscal year, we should have that all buttoned down.
Jason Nacca - Sidoti & Company, LLC: Okay. And also I know we're still seeing a bit of weakness on the drug retail. When are we going to be kind of seeing some reversal? I know we've got some bigger orders of $5 million to $8 million in the next 12 months. But I mean, are you seeing any particular strength with any of the particular chains or your offerings that you're providing?
Roger L. Fix: What we expect to happen is that we really see a bottoming and we're lapping as we speak, and over the next quarter, we'll lap the big downturn. And what we're really seeing there is kind of a steady state kind of lower demand. These lower store openings have been forecast by our customers and it's really in the public domain. Walgreens, for example, has announced that whereas historically, they were building 400 to as many as 500 stores a year, that they're going to anticipate 200, 250 stores as more of the run rate going forward. And much similar for CVS and for Rite Aid. So what we're really seeing is more of a bottoming out, where the year-over-year will not continue to impact us as much after, say, the next couple of quarters. But our focus then has been to get into other segments, and that's why we've emphasized things like the dollar store segment, which is still rapidly growing. You read many articles about the dollar store chains opening literally hundreds of stores on an annual basis. We see very solid growth opportunities there, that's why we've emphasized the rack refrigeration, the Value Line refrigeration and this new redesigned merchandising case. We think those really open up additional sales opportunities that will allow us to grow that segment going forward.
Jason Nacca - Sidoti & Company, LLC: Okay. And now moving to the acquisition pipeline. Just maybe a little color on what you guys are seeing there? Any -- on the deal side? I know that we want to move into some higher margin segments, but what kind of color are you seeing within the whole M&A activity?
Roger L. Fix: Again, I think reasonably, good pipeline and opportunity, we never disclose who we're looking at and what we're looking at, other than say that we're interested in doing acquisitions across the breadth of our companies. So we're seeing properties, assets come to market. We typically try to stay away from the auctions. A lot of what we do is proprietary kind of transactions. Obviously, multiples have trended up certainly over the last 6 to 9 months. But I think just a continuation of what we've been seeing over the last couple of years.
Jason Nacca - Sidoti & Company, LLC: Okay. And my last question is just for Tom with the tax rate. I'd see we have some favorable discrete tax items here. But how should we be looking at it in the fourth quarter and in fiscal 2014? Should we kind of expect in the 30% historical run rate?
Roger L. Fix: Yes, we expect it to return to normal about 28% to 30% tax rate going forward.
Operator: Your next question comes from the line of DeForest Hinman from Walthausen & Company.
DeForest R. Hinman - Walthausen & Co., LLC: Sorry, I was off the call for a few minutes, so I apologize if it's already been answered. But in terms of the inventory build, can you kind of go into what's really driving that? Is it primarily related to the Food Service side? Or is there something else going on there?
Roger L. Fix: The inventory build really occur in 2 segments, definitely in the Food Service side where, again, sales were lower than expected, so we were forecasting greater demand which brought inventories that we weren't able to use. There was also again the kind of the delays on the refrigeration side, particularly in the walk-in side of the business where we had produced walk-ins for sale, where the job sites weren't ready because of the weather. So we saw -- because of lower sales than anticipated because of the push-outs, we saw increases in the inventory, both on the raw side and finished goods within the Food Service segment. And the other occurred in Electronics where, again, we are consolidating 2 facilities in China. We're moving our Tianjin operation down to Shanghai. We put in, what we call, buffer inventory, so that we could -- if we had any disruption or any downtime as a result of the relocation, we could continue to serve our customers. The one disadvantage of being in China is that we're -- on-the-water time is roughly around 4 weeks or roughly about 1 month, so we want to put enough inventory, finished goods inventory in place, so we could support our large OEM customers out of China without any disruptions. So both those are very manageable in the sense that we know where it's at. We know it can be burnt down over time. Certainly, this is not inventory that's old or stale, but we just need to adjust now our incoming raw to our total demand to be able to bring the inventory levels back down again.
DeForest R. Hinman - Walthausen & Co., LLC: On the refrigeration side, should I assume that those are finished goods, and those are kind of working their way out rather quickly in the spring?
Roger L. Fix: A part of it is finished goods, more of it is raw material. So the finished goods side, you're right. We'll go very quickly in a matter of weeks. The raw material side of that build will take longer to burn off.
DeForest R. Hinman - Walthausen & Co., LLC: Okay. And once again, I apologize if it's already been asked. But can you discuss with a little bit more color this warranty issue on the beverage side that you had spoke of?
Roger L. Fix: Right, we introduced a new product that we were rolling out to the marketplace for dispensing -- beverage dispensing applications, and there was a problem with one component that was in that system that we hadn't seen as part of our field testing or laboratory testing, and that recalled -- that require that we pull those units back, rework them, and so we took an accrual in anticipation of the cost associated with the rework process for warranty repair.
DeForest R. Hinman - Walthausen & Co., LLC: And have we -- is that still ongoing, or is that completed?
Roger L. Fix: We think we have captured the cost of that in the accruals. The actual service work will go on over the next several quarters. But we believe we've properly captured all the cost, so it shouldn't impact our results in the future quarters.
Operator: [Operator Instructions] Our next question is from the line of Beth Lilly from Gabelli Investors.
Elizabeth Murphy Lilly - Gabelli Funds, LLC: I have a couple of questions. Can you refresh us about the legal settlement, and what was involved in the $1.9 million and what that refers to?
Roger L. Fix: Yes. We've disclosed it was related to a redhibition claim in the State of Louisiana, where there was a suit brought against us -- a part of our Food Service Group in the refrigeration side of the business. It's been ongoing lawsuit that's been in place for a couple of years. We were able to get to a point where we could settle at a reasonable amount, and so we did so, and we're moving on.
Elizabeth Murphy Lilly - Gabelli Funds, LLC: Okay. So the total amount is $1.9 million?
Roger L. Fix: The pretax cost to us was about $2.6 million, with a couple of hundred thousand dollars of legal expenses on top of that.
Elizabeth Murphy Lilly - Gabelli Funds, LLC: Okay. Okay, great. And then can you just spend a minute and talk about is there any change in the competitive environment in terms of the Food Service Equipment business? Or do you think it's just more related to the environment, the tough economic environment, as well as just the weather?
Roger L. Fix: We definitely think it has more to do with economics, surely not a competitive issue on our part. Our products and our price points are very competitive in the marketplace. But again, on the refrigeration side, the weather really impacted store openings really across the U.S. We've seen that really open back up over the last several weeks. Now the weather has improved. A lot of those sites were awaiting products from us. And on the hot side, again, we have a focus with our BKI unit on the grocery store segment. And you've read, I'm sure, Tesco took a big charge this past quarter. They're withdrawing from the U.S. market. They cut their capital spend pretty significantly in the U.K. That was one of our biggest customers in the U.K. So they, along with the rest of the grocery store segment in U.K., are down pretty substantially. And then SUPERVALU was also a big customer of ours, and they're going through their own financial problems as well right now. So it really has to do with the fact that a couple of our major customers have really reduced substantially their capital spend.
Elizabeth Murphy Lilly - Gabelli Funds, LLC: Okay, okay. Right. And then the other thing I wanted to ask you about is, so you're working capital turns were down in the quarter. And as you look out, do you think that those will go back over 5 next quarter, as well as into 2014?
Roger L. Fix: Yes. They definitely go back over 5. We do have seasonality in our turns. The third quarter is our historic weakest, because our sales are the lowest in the third quarter. We're -- our inventories, in particular, were not able to reduce the same amount as our sales. So our turns are always the lowest in the third quarter. But our fourth quarter, where our sales were strong and first quarter where our sales are strong, are typically our 2 largest, if you look -- our 2 highest, I'm sorry, working capital turns quarters. If you look at our history being in the sort of high 5s, mid to high 5s is where we need to be in the fourth and the first coming up.
Elizabeth Murphy Lilly - Gabelli Funds, LLC: Okay. And so as you look at the overall environment in your -- on an organic basis, your revenues were up 1%, which is light for the company historically. Going forward, do you think that the -- as the economic environment improves, you should experience -- are you expecting faster revenue growth, maybe a little -- would you say mid single digits to high single digits?
Roger L. Fix: Again, we don't give projections, but definitely, our aspiration that we've stated in our external communications is that we can look at GDP, global GDP as kind of a proxy for kind of a consolidated market growth of our various end user segments, and that we believe we should be able to grow a couple of point in excess of that GDP, which is, where we -- to your point, that's what we've been able to achieve really over the last 3 or 4 years. We've seen some real softening, though, in a couple of our markets, and that impacted our sales both this year -- this quarter, as well as last quarter.
Operator: At this time, there are no other questions. I'd like to turn the call back over to Mr. Fix for your closing remarks.
Roger L. Fix: Thank you, everybody, for attending the conference call and your questions, and we look forward talking to you again next quarter. Thank you.
Operator: And ladies and gentlemen, this concludes your presentation. You may now disconnect. Have a great day.